Operator: Greetings. Welcome to Jerash Holdings' Fiscal 2021 Fourth Quarter and Full-Year Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note that this conference is being recorded. At this time, I will now turn the conference over to Roger Pondel with PondelWilkinson. Mr. Pondel, you may now begin.
Roger Pondel: Thanks very much, Operator, and good morning everyone, and welcome to the Jerash Holdings fiscal 2021 fourth quarter and full-year conference call. I'm Roger Pondel with PondelWilkinson. We are Jerash Holdings' new Investor Relations firm. We are very happy to be aboard, and look forward to meeting with you and speaking with you over the coming months. It will be my pleasure momentarily to introduce the company's Chairman and Chief Executive Officer, Sam Choi; it's Chief Financial Officer, Gilbert Lee; and Eric Tang, who leads the company's operations in Jordan. Before I turn the call over to Sam, I want to remind you that today's call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to numerous conditions, many of which are beyond the company's control, including those set forth in the risk factor section of the company's most recent Form 10-K and Form 10-Q as filed with the Securities and Exchange Commission, copies of which are available on the SEC's Web site at www.sec.gov along with other company's filings made with the SEC from time to time. Actual results could differ materially from any forward-looking statements and Jerash Holdings undertakes no obligation to update any forward-looking statements except as required by law. And with that, it is my pleasure to turn the call over to CEO, Sam Choi. Sam?
Sam Choi: Thank you, Roger, and hello to everyone. Our fiscal 2021 full quarter results demonstrated excellent progress in our recovery from the COVID-19 pandemic. As we noted in our third quarter earnings call, we're expected to see at least a 38% increase in fourth quarter revenue, based on orders connected in the period. As you can see in today's press release, we exceeded this rate of growth, with actual fourth quarter revenues increasing nearly 65% year-over-year. Our mix of products improved substantially as well, leading to gross margins in the high-teens in the fourth quarter. As a result of our strong fourth quarter performance, we achieved a full recovery from last year second-half with full-year revenue of $90 million, exceeding our $85 million target for the year. Moreover, our robust momentum is continuing thus far into fiscal 2022 with orders for the first nine months of the year, leading to a revenue [indiscernible] in that period that would exceed our prior record. This would keep us on track to achieve guidance of $100 million and $102 million in revenue in fiscal 2022. We continue to advance plans to increase capacity in our existing facilities and secure additional capacity to meet our customer's needs, both by building new facilities, and possibly through leases and acquisitions. We'll keep you apprised of that progress. As previously announced, we also anticipate starting construction later this year of an additional facility on a parcel that we purchased in 2019. I'll now turn the call over to Eric Tang, who is based in Jordan, and then to Gilbert Lee, who is based in New York, who will cover our financial results. Eric?
Eric Tang: Okay. Thank you, Sam, and hello, everyone. I'm leading the operation in Jordan. Our factories in Jordan are extremely busy, and we continue to add capacity as quickly as we can in order to meet the demand of our buyers. As Sam noted, order volumes are up substantially, and customers have returned to more typical ordering patterns. Our revenue has continued to be more evenly distributed throughout the year, which as we have mentioned before, is one of our long-term goals. As anticipated, our product mix improved in the fourth quarter, leading to orders of higher average selling prices and margins than we saw earlier in the fiscal year. As we told you last quarter, some shipments for major brand customers were shifted into the fourth quarter, which lifted both revenue and gross margin in the period compared to last year. And as Sam noted earlier, this possible momentum is continuing into fiscal 2022. Capacity is completely booked through the end of January, based on orders from our four largest global brand customers alone. Bookings remain heavily weighted towards jacket and other outerwear products that have highest ASP and margins. While we continue to plan for adding future capacity to keep up with demand, we also recently announced the construction of a high quality living space, while expanding multinational workforce, as well as plans to start construction later this year on our fifth manufacturing plant with additional housing capacity. We plan to construct a state-of-the-art ecologically-friendly building with the highest safety and cover designs that have positioned us for growth and further our ESG growth. With that, I will turn the call to Gilbert Lee to discuss our financial results and fiscal 2022 outlook. Gilbert?
Gilbert Lee: Thank you, Eric, and good morning, everyone. Our fiscal 2021 fourth quarter revenue rose substantially to $24 million from $14 million in the same period last year, which is an increase of nearly 65%. As Sam noted, revenue exceeded the guidance we previously provided. Growth was driven by highest shipments in the quarter, as well as a shift in the timing of certain shipments from the third quarter into the fourth that was related to the COVID-19 pandemic. And as you may recall, our revenue in the fourth quarter of last year was negatively impacted by the pandemic due to a full national shutdown in March 2020. Gross margin exceeded our guidance as well, coming in at 19.6% in the fiscal 2021 fourth quarter, compared with 8.7% in the same period last year. Gross margin enhancement in the quarter reflects an improved mix of products with higher sales of jackets and other outerwear products. Gross margin in last year's fourth quarter also was negatively impacted by the pandemic. Operating expenses totaled $3.5 million in the fiscal 2021 fourth quarter compared with $2 million in the same period last year. The increase primarily reflected headcount additions, catch up repair and maintenance work on the facilities and dormitory to support growth in the new fiscal year. Higher logistics costs that stem from the pandemic and a one-time company-wide bonus, basically getting the company ready for returning to a more normalized operations. Operating income was $1.2 million in the fiscal 2021 fourth quarter, compared with an operating loss of $735,000 in the same period last year. Comprehensive income attributable to Jerash common stockholders was $656,000 or $0.06 per share in the fourth quarter, compared with a net loss of $740,000 or $0.07 per share in the same period last year. For the full 2021 fiscal year, revenue totaled $90 million, which exceeded our outlook. Gross margin in fiscal 2021 was down 160 basis points to 17.7%, again, primarily due to pandemic effects. Fiscal 2021 included higher proportion of local orders that typically carry lower margins. And we also experienced a loss in productivity because of the April 2020 national shutdown in June. Operating expenses were $11 million in fiscal 2021 slightly higher year-over-year. Operating income for the year was $5 million, compared with $8 million in fiscal 2020. Comprehensive income attributable to Jerash common stockholders was $4 million, or $0.37 per share in fiscal 2021 compared with $6 million or $0.57 per share in fiscal 2020. During fiscal 2021 we pay dividends of $0.20 per share to our common stockholders. Our balance sheet remains strong with cash and restricted cash of $23 million and net working capital of $15 million at March 31 2021. Inventory was $25 million and accounts receivable was $12 million. Receivable collections remain excellent and consistent with no customer issues. Net cash used in operating activities was $1 million in fiscal 2021 compared with net cash provided by operating activities of $7 million in the same period last year. The net change reflects working capital activity. We continue to expect the business to generate cash from operating activities on an annualized basis. We also have untapped lines of credit available for up to an aggregate amount of $26 million. In terms of our fiscal 2022 outlook, we expect revenue to be in the range of $100 million to $102 million for the year. Demand continues to indicate that we could produce revenue at or near record levels in the first three quarters of the year with orders heavily weighted towards high margin jackets and outerwear products. We expect this trend to support gross margins in the high teens for the full fiscal year. Our fiscal 2021 fourth quarter results represent a strong finish to a challenging year. Customer ordering patterns are returning to a more typical level with a higher ASP, and margin profile. Our facilities are fully booked through January of 2022. And we continue to work on adding more capacity. This robust momentum is leading to what we believe will be a record year for the company. We look forward to keeping you apprised of our progress as the year unfolds. And with that, we'll now open up the call for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is coming from the line of Mark Argento with Lake Street Capital. Please proceed with your questions.
Mark Argento: Hey, guys. Congrats on a strong end of the year, end of your fiscal year, a nice bounce back here post-pandemic. So, a couple questions, the guidance for 2022, the $100 million to $102 million in revenue, is that basically running the facilities at full capacity, or that 90% capacity -- maybe just talk about the upside potential to that number relative to the capacity utilization?
Sam Choi: Well, we have fully booked through the first three quarters of the year. And it is almost at 100% capacity. And we're adding additional capacity as we speak, by adding additional production lines in our existing facilities. However, that will only give us just a certain amount of additional capacity. But at the same time, we're looking, and considering additional spaces, additional facilities to add capacity. So, this projection or this guidance really is looking at pretty much at our limit, and that's we have additional acquisitions or leasing additional space in Jordan.
Mark Argento: And the additional capacity that you're talking about bringing online, is that when can you see a material increase in capacity, is that early 2023, fiscal '23, and a year from now, or how long does it take to spin up additional capacity?
Sam Choi: Well, we're building a new facility, and that construction will start towards the end of this year. Right now we're finalizing the engineering designs and the architectures of that particular building. So, that particular project will not provide new capacity until maybe a year-and-a-half or two-year, or two years after we start. So, we're actively looking for existing facilities that we can either lease or purchase in Jordan, so that we can immediately get additional capacity to satisfy the growing demand.
Mark Argento: And in terms of additional capacity, have you brought on additional capacity over the last couple of years, or has that stayed fairly static?
Sam Choi: Yes, in the latter part of 2019, I'm talking about the calendar year; we purchased our fourth factory in Jordan, which is the Paramount factory. So, that had some substantial increase in capacity for us. That's how we bought our capacity now up to 12 million pieces. And we also added a [satellite] [Ph] workshop in the Defense city in Jordan, which is about one-and-a-half hours South of Amman. In that facility, we now have 300 workers in there. And we're making more products in that facility. And that facility also has some more room to grow.
Mark Argento: Got it. And then, just turning -- maybe for Gilbert, looking at some of the expenses, you talked to gross margins kind of high-teens, on the OpEx side or operating expense side, I think you'd mentioned in the quarter, OpEx was a little bit higher because doing some resets of bonuses and getting ready for kind of growth in 2022, do you anticipate that normalizes the levels that look more like kind of run rate 2019 levels on a quarterly basis? Maybe walk us through what you're thinking on the operating expense side of the ledger?
Gilbert Lee: Well, on the SG&A, we're actually anticipating a slightly higher SG&A, because we have already added some accounts. So, some of the G&A costs will be higher to handle the growing demand, taking care of the sales and marketing. And also looking at higher shipments or higher volume of shipments, and the selling costs, selling expense it include the logistics costs that we have to send product, send finished products to the ports. Now, the overseas shipments, well both of them will be handled by our customers, so that's not part of our expenses. But we do have to ship the products to the port from our factory. So, we put in some additional costs in that. What I'm looking at on the SG&A will be around, let's see -- SG&A, we're looking at around $12 million to $13 million for this upcoming fiscal year.
Mark Argento: Got it. And then, for the -- on an operating income basis, do you anticipate is this going to be -- I think you guys did roughly $6 million in operating income, or excuse me, 6% operating income margins in 2021, that was down from roughly 8% in 2020. You get a bounce back in 2022 on an operating income level, or is this still kind of a little bit of a reinvestment year bounce back year, what are your thoughts on kind of that bottom line number?
Gilbert Lee: Well, margin is going to be better, because of higher proportion of the jackets and outerwear. So, margin, we'll see an improvement or probably about one percentage point, comparing to 2021. And SG&A, even though that has some increase, but I think the operating income level would improve.
Mark Argento: Got it, all right. And last one for me, Sam, as you're thinking about allocating capital, obviously, your balance sheet supports being able to get more aggressive on the growth side, probably played it a little conservative with the pandemic, how aggressive do you guys want to be here in terms of growing the business, given that it seems like for the most part, you guys have been fully booked for quite a while now. And I've been lacking capacity, what can you do to remedy that? Is their willingness to get more aggressive on the M&A side? Obviously you're constructing additional facilities as well, but just any thoughts there would be really helpful. Thanks.
Sam Choi: Yes, in fact, I mean besides building our own factory, I think the fastest way we'll consider is to require some small factory. They will immediately increase our capacity to meet the customer demand. So, that is one of the way we will seriously consider. Yes.
Mark Argento: Thank you.
Sam Choi: Yes.
Gilbert Lee: Thank you, Mark.
Operator: Our next question is from Rommel Dionisio with Aegis Capital.
Rommel Dionisio: Yes, good morning. Thanks for taking my question. I wonder if I could -- just walk through the impacts of the pandemic on labor, are you restricted from bringing workers from other countries, Bangladesh and others into Jordan, because of the pandemic, and as a result, are you hiring more domestic labor? Is that not really as much of an issue? Thanks.
A – Eric Tang: This is Eric. Okay, let me answer this question. Okay, because I'm taking care of the operations. So, all along we are bringing migrant workers from India, Bangladesh, these kinds of countries to Jordan. So, this is a major part of our workforce. At the beginning of the pandemic, the situation in India and Bangladesh is still under control, we are still open to over for bringing workers from Bangladesh and India to come in to Jordan to work, but this year, starting this year I think April something like this, the situation in India and Bangladesh is getting worse, nearly all the countries in the world banned the coming of workers or people from that country. So, in Jordan, the Ministry of Labor also banned the coming of workers from these two countries. So, actually we have applied for new workers coming to work for us from these two countries in order to meet our expansion requirements. And in order to solve the problem, we are already hiring more local workers. And also particularly, we are looking forward to hiring more experienced [indiscernible] operators to replace those workers from Bangladesh and India, who cannot be able to come to work in Jordan. The situation now in India and Bangladesh, I think is improving. And starting last week, Visa for Bangladesh coming to Jordan is open already, reopened, I can say. So, starting a few days ago, we have new workers from Bangladesh coming to work in our factory again. We are still looking forward to the situation in India going improving. And hopefully, maybe in July, Jordan will be opened for Indian people to come again to work.
Rommel Dionisio: Okay, that's very helpful. And maybe a follow up to that, I know, in terms of your capacity expansion plans, you're also thinking about in past, expanding maybe in China. And I just wanted -- same question, we do hear about some recent lockdowns in certain regions, but I guess, some of those are being lifted now. Has that been a factor that may have been impacting your plans to expand production capacity in China, or does that not really been as much of an issue? Thank you.
Sam Choi: I can see so far there is no obstruction or problem in [indiscernible] factory in Southern part of China, in Guangdong Province, so, no negative impact on our operation, yes.
Rommel Dionisio: Okay, that's very helpful. Thank you very much, and congratulations on the quarter.
Sam Choi: Thank you, Rommel.
Gilbert Lee: Thank you.
Operator: Thank you. Our next question is from Barry Pasternack, Private Investor. Please go ahead with your questions sir.
Barry Pasternack: Hi, guys, congrats on the quarter. I was wondering it looks like the book tax rate was about 40%, could you talk about why it was so high, and also what you expect if you could talk about what you expect the book and cash tax rate to look like in the current fiscal year?
Sam Choi: The tax rate actually was -- there was some catch-up or some true-up in the Jordanian taxes that relates back to 2018 and 2019. Jordanian tax rate actually went up quite significantly in the past two years. So, we went back, or the government went back and [navvy] [Ph] on us some additional taxes. And even in the fiscal year 2021, the tax rate in Jordan increased from 11% to 14%. So, there is pretty steep hike in the tax rate. That's why the effective tax rate looks higher this year, but we anticipate this will kind of level out. And so, this year is just a one time adjustment.
Barry Pasternack: So, what would the cash and book tax rates look like for the current fiscal year? Can you comment on that?
Sam Choi: In the current fiscal year, we anticipate the cash rate to be around 16% to 17%.
Barry Pasternack: Okay, great. And for the apartments that are going to be constructed for employees, when is that projected to begin that construction?
Sam Choi: We have already begun the construction in the month of April, at the end of April actually. And we anticipate the construction to complete in the middle of 2022.
Barry Pasternack: Okay, great. And last question, why was there a change in Investor Relations firms?
Sam Choi: Why was there a change in the Investor Relations firm?
Barry Pasternack: Right. It was a recent change to…
Sam Choi: Yes. We just want to have a change and see if we can learn something new and just try to attract more investors and grow our company, be more transparent and communicate with our investors with the capital market more effectively.
Barry Pasternack: I see. Okay, great. Thanks very much.
Sam Choi: Thank you.
Gilbert Lee: Thank you for calling.
Operator: Thank you. The next question is from Mike [indiscernible] Holdings. Please proceed with your question.
Unidentified Analyst: Yes. Good morning, gentlemen.
Eric Tang: Good morning.
Unidentified Analyst: And how are you? Eric, good afternoon, I guess to you.
Eric Tang: Yes, good afternoon.
Unidentified Analyst: I don't have much to say. I just want to tell you congratulations.
Eric Tang: Thank you.
Unidentified Analyst: The only thing -- and Gilbert, as you know, we spoke earlier this year, just quickly the only thing I was going to point out to you, first off, it's great that you were able to give bonuses out to folks and that's great, I appreciate the transparency Eric, you're always terrific, and Gilbert as are you. Sam, you're in charge, so congratulations. The investment in training, which is the Costco model, I just wanted to point out, I realized that you all know this, the world doesn't, and that would be your new IR firm, which you engaged getting on their horses as well, and I wish them luck. I hope they're fully engaged. But the reality is the Costco model is let's get our people fully engaged, meaning all the workers, pay them well, take care of them, which you all do. And that investment in training fosters permanency in your worker base and quality control is an automatic, because it's taught on day one, and not by some QC person at the end of the line. And I just wanted to point out that that is part of the reason why Jerash Holdings has excelled beyond most other folks in the abroad business, as you know, Gilbert, had been in this business for many decades. So, that's it. I just want to say thank you and continue the great work. You know, I'll speak to you privately Gilbert, if need be, but it won't. And that's it, just somebody want to -- I just want to toot the horn a little bit, and make sure that Roger Pondel gets on his course of the PondelWilkinson. And thank you all for doing such a great job through this horrible mess that we've lived with over the last two years. Okay.
Sam Choi: Yes, thank you for calling.
Gilbert Lee: Thank you so much.
Eric Tang: Thank you.
Sam Choi: Yes, thank you for the reminder. We definitely understand how important it is to treat our employees, treat our workers well. And that is the strength of Jerash, our operations in Jordan that that we are the really the most sought-after manufacturer in Jordan by many of the global brands.
Operator: Thank you. At this time, I'll turn the floor back to Mr. Sam Choi for closing remarks.
Sam Choi: Okay, yes, thank you, Operator. And thanks again to everyone for joining us today, and for your support and interest in our company. We look forward to speaking with you again soon on our first quarter earnings call. Thank you very much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.